Operator: Good day, and thank you for standing by. Welcome to the AMC Networks Inc. Second Quarter 2025 Earnings Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Nick Seibert, SVP, Corporate Development and Investor Relations. Please go ahead.
Nicholas Seibert: Thank you. Good morning, and welcome to the AMC Networks Second Quarter 2025 Earnings Conference Call. Joining us this morning are Kristin Dolan, Chief Executive Officer; Patrick O'Connell, Chief Financial Officer; Kim Kelleher, Chief Commercial Officer; and Dan McDermott, President of Entertainment and AMC Studios. Today's press release is available on our website at amcnetworks.com. We will begin with prepared remarks, and then we'll open the call for questions. Today's call may include certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Any such forward-looking statements are not guarantees of future performance or results and involve risks and uncertainties that could cause actual results to differ. Please refer to AMC Networks' SEC filings for a discussion of risks and uncertainties. The company disclaims any obligation to update any forward-looking statements made on this call today. We will discuss certain non-GAAP financial measures. The required definitions and reconciliations can be found in today's press release. And with that, I'd like to turn the call over to Kristin.
Kristin Aigner Dolan: Thank you, Nick, and good morning, everyone. We continue to execute our clear strategic plan focused on programming, partnerships and profitability as we manage AMC Networks through this period of change in our industry. I'm pleased with the progress we've made in the first half of the year. In the second quarter, streaming revenue growth accelerated. We saw strong licensing performance and generated $96 million of free cash flow. In light of these positive results, we are raising our free cash flow outlook to approximately $250 million for the full year. In addition, we recently completed important financing transactions, which Patrick will discuss in more detail. We expect that the retirement of our debt at a significant discount will create meaningful shareholder value. I'd like to spend a moment discussing a core competency that differentiates AMC Networks, which is our ability to build and grow fan communities around our high-quality content. This is the goal of every company in media, and our success in this regard spans our linear networks, programming franchises, targeted streaming services and film business. Two weeks ago, we were at San Diego Comic-Con, the biggest fan event in the world and a major annual priority for our company. Our Walking Dead and Anne Rice universes and for the first time, our Shudder streaming service were well represented. Active fan relationships drive our company and also deliver meaningful value to our distribution and advertising partners. It was powerful and affirming to see people lined up for hours to be terrified at our Shudder activation to watch Norman Reedus and Melissa McBride preview a new season of The Walking Dead: Daryl Dixon in Hall H or experienced the cast of interview with the Vampire entering Ballroom 20 to deafening applause. We've also approached streaming in a unique and fan-forward way, building a suite of targeted services that allow us to efficiently serve passionate fans of specific genres while achieving very high levels of engagement and loyalty. When a horror fan finds Shudder or someone who loves cozy mysteries discovers Acorn TV, something very powerful happens. They don't just add another platform to the pile, they subscribe to a service that quickly becomes their favorite. Our viewers-first strategy is designed to meet viewers wherever they are on every possible platform. The benefits of this approach are cascading across our business and allowing us to expand audiences by finding new viewers across linear, streaming and CTV FAST. We have more than 20 domestic FAST channels today, which do more than just grow our digital ad business. They promote sampling and raise awareness and interest in our brands and franchises. They drive viewership on our linear networks and subscriptions on our streaming services. We're also adapting our success in FAST internationally. We're already seeing a great response to the 3 FAST channels we've launched in the U.K. and are adding 3 more this month. Later this year, we'll launch channels in markets across Central and Northern Europe, Iberia and Latin America. We've been focused on expanding awareness and subscriber interest in the Acorn servicing brand, one of the world's first targeted streaming services. In the quarter, we celebrated our first Murder Mystery May, a new event that delivered the biggest month for Acorn ownership ever and achieved a multiyear high in subscriber acquisition. In addition to that effort, we developed a custom plan with a partner that successfully drove higher subscriber acquisition for the service, a new mystery series called Art Detectives, starring Stephen Moyer, premiered during the quarter and is now the #1 new series in Acorn history. Irish Blood, starring an executive produced by Alicia Silverstone, premieres next week, and a new Brooks Shields mystery goes into production next month. Shudder continues to cement its status as the premier brand for fans of horror and the supernatural with the breakout success of Clown in a Cornfield. The film opens a critical acclaim in May and set a company record for opening weekend box office. We're looking forward to extending the film's momentum with its streaming debut today on AMC+ and Shudder. It's worth noting that during the quarter, we implemented rate events at both Acorn and Shudder and still saw year-over-year and sequential improvements in both our rate of churn and engagement across our streaming portfolio. All of our streaming services are still priced below $10 a month, which is increasingly rare today. I'd also like to call out the strong growth of our HIDIVE streaming service. Anime is a popular genre with a passionate and highly engaged fan base. We see a lot of potential for continued growth at HIDIVE. In terms of operational updates, we're very pleased with our performance in the current advertising upfront negotiations and the continued expansion of our digital ad business as more of our advertising partners embrace the power of reaching our viewers by buying across multiple platforms. We're tracking toward the same overall volume as last year, while driving a 25%-plus increase in digital commitments, capitalizing on the innovation we've invested in over the last few years. Our commercial team leads the industry in key areas of innovation and attribution, and we see momentum as new currency opportunities are embraced by the marketplace. We're in advanced discussions with Netflix to extend and expand the innovative branded AMC collection content relationship we launched a year ago. We expect to provide a more specific update in the coming weeks. Let me just say, both companies have been very happy with the results that came from making prior seasons of many of our shows, including our biggest franchises, available to this enormous base of subscribers in the U.S. In terms of content licensing in general, we're seeing interest in our shows and franchises around the world. We saw strong performance in this category during the quarter, including continued demand for our content, the sale of our music catalog as well as additional fees related to our development of Apple TV+ hit series Silo. This reinforces not only the value of our owned IP but also the versatility and breadth of AMC Studios assets and capabilities as we continue to develop premium content for our own platforms and opportunistically for other buyers. AI has become a significant focus generally and in media. We recently entered into a partnership with a company called Runway, a leader in the use of generative AI in entertainment, to leverage AI in our marketing and programming development. We've already begun using these tools to efficiently and quickly explore possibilities around certain storylines or locations, expanding the quality and volume of opportunity in these important areas. We'll have more to say on this and how we are using this new technology across marketing and programming development in the coming months. Our work with Comcast Technology Solutions to standardize and streamline our back-office functions continues and crossed several important performance milestones in the last quarter. Just recently, we worked with CTS to expand the delivery of our content to an ever-increasing number of digital distribution partners. On the linear side, we fully transitioned origination for our LatAm channels as well as disaster recovery services for our North American channels. This meaningful progress positions us well for the technical challenges associated with the rapidly evolving media distribution landscape. We're looking forward to a third season of The Walking Dead: Daryl Dixon, which will premier in September, and the arrival of a third series in our Anne Rice universe, Talamasca: The Secret Order later this fall. Our size, independence and unified organizational structure serve our company, our partners and of course, our viewers extremely well in this changing time in media. We've done the hard internal work to ensure that our employees are empowered, focused and clear on our strategy, which gives us the ability to move quickly, intelligently and decisively to seize new opportunities. We are managing this business in a thoughtful and strategic way as we continue to build franchises and entertain fans. And now I'll turn the call over to Patrick.
Patrick O’Connell: Thank you, Kristin. We are pleased to report another quarter of healthy free cash flow generation with second quarter free cash flow totaling $96 million. On the heels of the strong cash flow generation in the first half of the year, we've increased our outlook and now anticipate approximately $250 million of free cash flow for 2025. I'll have more to share on this when I reiterate the rest of our full- year outlook later in my remarks. On to our consolidated results. Second quarter consolidated net revenue declined 4% year-over-year to $600 million. Favorability in foreign exchange rates resulted in an approximately 60 basis point tailwind to our consolidated revenue growth rate. Consolidated AOI declined 28% to $109 million with an 18% margin, and adjusted EPS was $0.69 per share. I'll now review our segment results. Domestic Operations revenue decreased 2% to $527 million. Subscription revenue decreased 1% due to a 12% decline in affiliate revenue, partly offset by streaming revenue growth of 12%. Streaming subscribers grew 2% year- over-year and sequentially, and we ended the second quarter with 10.4 million streaming subs. Streaming revenue growth in the quarter benefited from the implementation of recent rate initiatives. Despite two price increases in the second quarter, we still saw year-over-year and sequential improvement in retention and engagement across our portfolio of streaming services. In July, we implemented a $1 rate event at HIDIVE, and performance to date at this service is encouraging, with retention tracking in line with our expectations. With all planned rate events for the year now in flight, we anticipate an acceleration in quarterly streaming revenue growth as the year progresses, and we continue to expect our full-year streaming revenue growth rate will be in the low to mid-teens. For the second quarter, Domestic Operations advertising revenue decreased 18% year-over-year due to linear ratings declines and lower marketplace pricing, including lower digital CPMs. The ad market remains challenging for everyone, but we remain encouraged by our upfront performance, the strength of our programming and our significant advanced and digital advertising capabilities. Content licensing revenue was $84 million for the quarter, reflecting the timing and availability of deliveries in the period. Our second quarter results reflected continued healthy demand for our high-quality content, including the sale of our music catalog and executive producer fees related to the Apple TV+ Silo, as you know, licensing revenues often vary quarter-to-quarter due to the timing of agreements and delivery schedules. Regarding the quarterly cadence of licensing revenue, we anticipate that the third quarter will represent the lowest licensing revenue quarter for the year, and that revenue will pick back up in the fourth quarter. This is typical timing variability, driven by the cadence of our delivery schedule. We continue to anticipate approximately $250 million of Domestic Operations content licensing revenue for the year. Domestic Operations AOI was $126 million for the quarter, representing a decrease of 19%. The decrease in AOI was largely driven by continued linear revenue headwinds. Streaming and content licensing revenue strength provided a partial offset in the second quarter. Moving to our International segment. Second quarter International revenues were $76 million. Excluding prior-period advertising revenues related to a retroactive adjustment and the favorable impact of foreign exchange in the current period, International revenues decreased 6%. Subscription revenue, excluding FX, decreased 9% due to the nonrenewal with Movistar in Spain, which occurred in the fourth quarter of 2024. Advertising revenue, excluding the prior-period retroactive adjustment and the favorable FX impact in the current period, increased 2%. The International AOI for the second quarter was $15 million with a 20% margin. Excluding the prior period adjustment and the beneficial FX impact in the current period, International AOI decreased 15%. Moving to the balance sheet. The strength of our balance sheet remains a focus as we reduce gross debt and extend maturities. Proactive and prudent management of our balance sheet provides improved flexibility today and in the future while allowing us to focus on the continued evolution of our business. We believe that our securities offer attractive opportunities to deploy cash opportunistically across the capital structure to create meaningful equity value. So far this year, total debt reduction has exceeded $400 million. This includes the retirement of $699 million of our unsecured senior notes due 2029 at a significant discount to par and the early prepayment of $90 million of our Term Loan A. Through July, we've captured approximately $138 million of debt discount. Adjusting for transactions that closed in July, we ended the quarter with pro forma net debt of approximately $1.3 billion and a consolidated net leverage ratio of 2.7x, a reduction from 2.9x in the previous quarter. We have $875 million of total liquidity, including approximately $700 million of pro forma cash on the balance sheet and our undrawn $175 million revolver. During the second quarter, we repurchased 1.6 million shares of our Class A common stock for approximately $10 million. As of June 30, we had $125 million remaining on our current authorization. On the topic of capital allocation, our philosophy remains consistent. First, we look to support the business by creating and acquiring compelling programming that resonates with our audiences while maintaining healthy levels of cash flow generation. Second, we remain focused on reducing gross debt and extending debt maturities. Lastly, M&A, share repurchases and dividends will be opportunistic and measured and remain further down our priority list. Moving to our 2025 outlook, we remain confident in our ability to drive free cash flow. As I mentioned earlier, we've raised our free cash flow outlook and now anticipate approximately $250 million of free cash flow for the year. Our increased outlook contemplates our strong year-to-date cash flow performance, efficiency in our programming and cash tax savings largely related to full interest deductibility from the One Big Beautiful Bill. We continue to expect consolidated revenue of approximately $2.3 billion, reflecting continued linear headwinds, partially offset by increasingly meaningful streaming growth and continue to expect consolidated AOI in the range of $400 million to $420 million. We continue to anticipate year-over-year increases in technical and operating expenses as well as increased SG&A expenses, largely driven by streaming-related marketing. Regarding the quarterly cadence of AOI for the remainder of the year due to the timing of revenue, including content licensing, we anticipate the AOI in the third quarter represent the low point for the year. The fourth quarter will be the first full quarter reflecting all 2025 price increases at our streaming services. We expect fourth quarter AOI will benefit from accelerating streaming revenue growth and the timing of content licensing revenues. As such, in absolute dollar terms, we expect fourth quarter AOI to be consistent with second quarter AOI. While the operating environment remains ever changing, we remain highly focused on the variables within our control. We continue to execute our consistent strategy of making great content, distributing that content broadly, generating meaningful free cash flow and being prudent with how we allocate our capital. We are well capitalized with a large cash balance, a long-term view of the business and a clear strategic plan. At the same time, we are nimble and opportunistic as we create and curate the high-quality content that engages fans and build valuable franchises. With that, I'll hand the call back to Nick.
Nicholas Seibert: Thanks, Patrick. Operator, we'll now move to the Q&A portion of the call.
Operator: [Operator Instructions] One moment for our first question, which will come from Thomas Yeh of Morgan Stanley. Thomas, your line is open.
Thomas L. Yeh: Can you dig into the source of the free cash flow upside a little bit more relative to the reiteration of revenue and EBITDA? It sounded like Patrick, you mentioned cash tax savings is a driver. Any changes to cash spending in the roughly $1 billion zone and working capital to help us bridge the gap?
Patrick O’Connell: Thomas, thanks for the question. Yes, just unpacking the kind of increase in the free cash flow guide, a couple of factors. I would say the largest factor is the cash taxes. An offset to that was we did have some incremental cancellation of indebtedness income on which we pay tax on. But on a net basis, cash taxes is the largest component of guidance increase. I would say, second to that would be savings across some of our programming. Those were modest in relation to the cash tax savings, but still important. And sort of even more important than either of those two is the fact that the cash tax savings will sort of compound into '26 and '27 as we get sort of full interest deductibility going forward. Obviously, given our capital structure, that was an important component of that legislation for us. So not meaningful changes to the prior guidance in terms of cash programming spend. But in ranked order, it's the cash taxes first and the programming second.
Thomas L. Yeh: Okay. That's super helpful. And if we benchmark relative to the original guidance across the revenue buckets at the beginning of the year, you reiterated content licensing and streaming. It seems like advertising is tracking a little worse and affiliate maybe a little bit better. As we think about the back half for those two, can you maybe just help us think about the trends on a year-over-year comparison basis and what we have been seeing recently continue?
Patrick O’Connell: Yes. I mean we continue to feel good about the $2.3 billion total revenue guide. I think the story remains sort of much the same as it has been for the last couple of quarters, in that content licensing revenue continues to be strong. The market is strong. Obviously, our content performs well on our services. It performs extraordinarily well on other platforms, in addition. And so we continue to see strength in that sort of -- in those marketplaces, both domestically and internationally. So yes, on the margin, I would say, incremental strength on content licensing, a little bit of weakness on the advertising side. Affiliate, we continue to feel kind of really good about our relationships with our partners, and those deals continue to get signed as a matter of course. And so that I don't expect any sort of material change from our initial guidance for the year. I would caution, however, we don't sort of typically give kind of quarter-by-quarter kind of reframes on kind of a revenue line item basis. So there are multiple ways up the mountain. So we feel good about the 2.3, and there's obviously a number of ways to get there. But as -- in terms of broad brush strokes, I think the trends you've seen in the past are going to kind of carry through for the balance of the year.
Thomas L. Yeh: Understood. And if I can squeeze one more in just on the Runway partnership and the puts and takes there, is it right to assume that you're allowing them to train off your content library and then in return, you can leverage these tools exclusively for yourself to empower you to do more efficient postproduction and preproduction? Maybe help us to frame through what the give and take is there.
Kristin Aigner Dolan: Thomas, it's Kristin. So Runway is just a facilitation for us, it's a tool that allows us to ideate. But if the content is ours, then essentially, our goal is to put the best tools in the hands of our creative. So our teams are using Runway for visualization of ideas, whether it's set design or interestingly, shots that we wouldn't necessarily be able to afford on our budget, so things like shooting an oil rig or an aerial shot of a shipwreck. But the relationship there is really to help facilitate our opportunities to expand our scope, ensure creative alignment, visualize more quickly. And so we've had some wins. Actually, Dan could probably give you an example or two, but Runway is really just -- they're great partners, but we use them to facilitate our creative work. It's a technology play, it's not an integrated IP kind of play with any of our content or anything that we've created.
Dan McDermott: Yes, I'll just add to that, Thomas. I mean, I'd just say, look, the business has been integrating emerging technologies into the development and production of shows and film since the advent of the talkies. And as Kristin has mentioned and driven us over the last couple of years, we are an early adopter in the fast-moving space of deploying AI in the service of generative visualization. So we are using them to help us ideate, come up with concepts, ideas, help our showrunners visualize what they want to do, where they want to do it. And then in the realm of postproduction, we're able to save a considerable amount of money across our 30 to 50 episodes of television a year because generative AI is so good right now, it delivers 4K imagery, priced at anywhere from 20% to 40% of what traditional VFX is. And we're not displacing any of these people either. I wanted to be really clear that all of our efforts live clearly and cleanly within the parameters established by all the guilds. We're committed to the principle that everything we do is in support of the people that make these great shows possible, and we're literally just giving them tools that will enhance their ability to do the great work they do.
Operator: Our next question will be coming from John Hodulik of UBS.
John Christopher Hodulik: A couple of more details on the top line. First, given the strength you've seen in streaming, do you think subscription revenue growth can grow sustainably from here? And then any more details you can tell us on the sort of ad trends or the ad market? Specifically, what are you seeing in terms of pricing from the linear side and the CTV side? We've heard about some pressure on general entertainment advertising in both sides. And just any color that you're seeing and what you expect for the second part of -- the second half of the year would be great.
Patrick O’Connell: Great. John, it's Patrick. I'll take the streaming and Kim will take the advertising. Listen, we feel really good about the acceleration on the streaming side, both in terms of price and units, right? And so we've had some amazing success with some of the recent programming both on Acorn and on HIDIVE that really resonate with audiences. And so we're seeing kind of attractive upticks and kind of subscribers there. Could always do better, but we like what we see, particularly the last couple of quarters on those two platforms. In terms of the economics of the business, really important to note that we've done a handful of price increases across our platform with really attractive sort of net results, and we're seeing sort of a very, very modest impact to sort of gross adds, churn, et cetera. So the metrics continue to hold up really well. We've got some nice pricing power here. You're going to see that compound through the balance of the year into Q3 and Q4, obviously, beyond. So we feel really good about that, and we expect that, that streaming revenue will continue to accelerate into the back half of the year.
Kristin Aigner Dolan: And John, just to note, I think it was in our remarks, but just to reiterate that streaming revenue will be our largest single revenue component this year. So it's going where we need it to go. And then, Kim, on advertising?
Kimberly Kelleher: Sure. I think that it would be helpful to reiterate Kristin's comments about the strength of our upfront this year, which is probably the most leading indicator you've heard from others and us on where advertising is going to see nearly flat year-over-year volume while driving over a 25% increase in our digital revenue, it's all signs pointing in the right direction, as we look forward. Obviously, that upfront begins in October of this year and fourth quarter and flows through next year. So that's leading. I would also add that we continue to be -- our teams are leaders in the national linear addressable space. And what that really does, John, is that increases the value of our inventory by increasing the value it delivers to our advertisers through best-in-class targeting. And we continue to push as much of our inventory directionally, whether that's from the virtual MVPDs, the traditional MVPDs and obviously, the CTV space. We sell cross-platform to our partners, and that value increases with the layered targeting enhancements in the Audience+ programming -- the Audience+ tool we introduced actually almost 2 years ago.
Operator: And our next question will be coming from Charles Wilber of Guggenheim Securities.
Charles Howard Wilber: I appreciate the detail on the upfront there. Just wanted to ask, could you share any kind of incremental color on particular areas of success, whether verticals or particular shows or content style or platforms or audience segments that are kind of working best for you? And then secondly, on the International FAST expansions, any cost or limitations on how quickly you can roll these out? And then, how you're thinking about the return profiles and the contribution timing from these?
Kimberly Kelleher: I would just -- it's Kim again. I'd just throw in. We saw real health in our QSR and FAST casual category. Financial is up, food and retail is up. So those all bounced up in Q2 of this year, and we'll continue to watch the categories going forward. On the downside, automotive has been a tough one for consecutive quarters for many. So we continue to actually work hard in that space. In the areas of opportunity. We continue to expand that digital inventory, like I talked about in my last response. And we see that as the future because of the nature of the targeting abilities in that space, which do lend to higher CPMs. And so we're setting ourselves up for the future.
Kristin Aigner Dolan: Great. And then on the FAST front, we've said it before, but now we're up to 28 FAST channels on 21 platforms around the world, so that's 190 global feeds at FAST. And we've been doing more and more partnership both with the OEMs, with the CTV folks, as well as with our other distribution partners. So like with TCL, there in -- we launched 11 FAST channels there in May. We domestically introduced 2 new channels in the marketplace. Acorn TV Mysteries and Love After Lockup with select partners and more to come. And then internationally, one of the big ones is we want launched The Walking Dead by AMC FAST channel in LatAm, including Brazil, which is the world's largest -- third largest FAST market. So we see a lot of opportunity here, particularly because as Kim always points out, we retain the sales rights and so our digital inventory stack gets bigger and broader as we launch more FAST channels. On the tech side, what I love about this is as we've continued the migration over to CTS. We now have all of our assets sitting on servers in one place with -- obviously, with a backup in another area, but 2 sets of cloud storage, one primary and one for disaster recovery, but everything can be fed from the same place. So as we ideate different channels, all of the files are there, and then our teams can put them together into a FAST channel that could either be a pop-up or persistent channel, if it's something super effective like The Walking Dead, seasonal opportunities, regional opportunities. And so FAST is just a great embodiment of sort of digital platform being so fast and then for us, the opportunity to continue to mine the library of everything that we have across all of our IP to create some really interesting and hopefully compelling content across the world.
Operator: Thank you. And our next question will be coming from David Joyce of Seaport Research Partners.
David Carl Joyce: A little bit more detail, please, on the contribution to the streaming subs and advertising from, I guess, the renewals that you inked with your distributors in the past year, where they're kind of making your streaming service more available. What's that then for the subscriber and advertising trends?
Kristin Aigner Dolan: David, I'm sorry, did you mean advertising revenue? Or are you just asking about success so far with the [ FILOs ] and the spectrum constructs?
David Carl Joyce: Yes, both. What those new relationships have done for the advertising trajectory? What they're doing for advertising for you? And how they supported your subscriber growth?
Kristin Aigner Dolan: Okay. So just on the subscription side, we've always loved the Charter model, the Spectrum model. We've worked really closely with the team there on making sure that subscribers who are entitled to AMC+ as part of their TV select package, are activating. And we're seeing -- we're definitely in keeping, if not outperforming, some of the other folks that are available to Spectrum subscribers. So working very closely. And Charter has done an excellent job on subscriber. I get a lot of information reminding me what I have -- what my entitlements are. So we've been very, very pleased with the volume and take rate and engagement of those subscribers as well as with FILO, where we're also embedded AMC+ with our core linear channels. And then on the advertising front, these are ad-supported versions of AMC+, but it's still pretty early as far as like the total footprint for these bundled subscribers on the advertising front. But Kim, I don't know if you want to add anything to that?
Kimberly Kelleher: I think that we will see it accrues over time, absolutely in an additive way, but it is a multi-revenue opportunity for growth.
Nicholas Seibert: Our last question will be coming from Steven Cahall of Wells Fargo.
Steven Lee Cahall: Yes. So I'm sure you all have noticed that some of the media peers have been looking to split up their cable distribution assets from their content assets. And I imagine this is a question that you all have taken internally as well. You have a very successful studio, as we see from your licensing revenue. And then there's a lot of pressure on your revenue and AOI from the linear distribution part. So I guess, how are you thinking about that opportunity? You've been active in the debt market as well. So would just love any color there. And then maybe just back to capital allocation, so you bought back some stock in the quarter. Patrick, I think you said that your priorities haven't changed, which is still content over buybacks. So there's always scope to invest in more content to drive future value. How should we think about when buybacks come into the picture?
Patrick O’Connell: Great. Steven, it's Patrick. I'll take them in reverse order. So first, on capital allocation, as you mentioned, the philosophy remains unchanged. I would look at the very modest $10 million buyback in the context of the other kind of capital markets activity we undertook over the course of the last couple of quarters, including reducing net leverage by 0.25 turn, given the discount that we captured in the recent activity. More importantly, obviously, still, we're extending duration of our balance sheet, including the new $400 million kind of secured issue due 2032. So we feel really good about the work we've done to set the company up for a long-term sort of financial success here via the balance sheet. So I would view the capital allocation in the context of those recent activities. But when you look up and you see that the free cash flow yield on the stock is 90%, it does look screamingly cheap. We also see potential opportunities across the capital structure. We've taken advantage of some of them, as I mentioned, by capturing some discount. And there may be more opportunities in the future, and we will be mindful of those. On your first question in terms of kind of the asset composition of the business, I think it's worth highlighting because I don't think it's sort of as well sort of understood, given the fact that we've got a number of other kind of spin codes kind of coming out, which are kind of cable networks business is at the core. AMC is very different. We have a studio, we have a big streaming business. Streaming revenue is going to be our largest revenue source in 2025. There's a lot of IP house within this company. And so we've also got an amazing portfolio of streaming products that work really hard alone, and they work even harder together. And I think that's sort of thematically how we think about the business as a whole. All the pieces kind of work together in a sort of strength -- compound strength. So I think we see continued opportunity to sell across our platform, as Kim has mentioned, and to use the IP to drive our business and also assist others and monetize it around the world. So at this point, we'd like to think we're [indiscernible]. We think we've got a great set of assets, and we think that we're really working hard together.
Operator: And I'm showing no further questions. I would now like to turn the call back to Kristin for closing remarks.
Kristin Aigner Dolan: Great. Thank you, operator. I'd like to close by saying it's a changing and sometimes challenging time in media. But as we discussed this morning, we're finding strength and opportunity in a clear strategic plan focused on programming, partnerships and profitability. I'm pleased with our results this quarter and our prospects for the remainder of the year, including a higher reforecast for free cash flow, which is, as everyone knows, one of our major ongoing priorities. So between that and the return of The Walking Dead: Daryl Dixon next month, the expansion of our Anne Rice universe later this year and our continued strong activity at Acorn, Shudder, HIDIVE across the portfolio of targeted streaming services, we think we're in pretty good shape. So we want to thank everybody again for joining us and for your continued interest in AMC Networks. And with that, we'll end the call.
Operator: And this concludes today's conference call. Thank you for participating. You may now disconnect.